Operator: Ladies and gentlemen, thank you for standing by, and welcome to ChromaDex Corporation's Fourth Quarter and Full Year 2017 Results Investor Call. My name is Kevin, and I will be your conference operator today. At this time, all participants are in a listen-only mode. As a reminder, this conference call is being recorded. This afternoon, ChromaDex issued it's news release announcing the Company's financial results for the fourth quarter and year ended 2017. If you have not reviewed this information, both are available within the Investor Relations section of ChromaDex's website at www.chromadex.com. I would now like turn the conference over to Andrew Johnson, Director of Investor Relations. Please go ahead, sir.
Andrew Johnson: Thank you, Kevin. Good afternoon, and welcome to ChromaDex Corporations' first quarter and full year 2017 results investor call. With us today are ChromaDex's Founder and Chief Executive Officer, Frank Jaksch; President and Chief Operating Officer, Rob Fried; and Chief Financial Officer, Kevin Farr. Today's conference call may include forward-looking statements, including statements related to ChromaDex's research and development and clinical trial plans, and the timing of results and such clinical trials, the timing of future regulatory filings, the expansion of the sale of TRU NIAGEN in new markets, plans to add to the management team, future financial results, business development opportunities, future cash needs, ChromaDex's operating performance in the future, future investor interest, clinical research studies and subject to risks and uncertainties related to ChromaDex's future business prospects and opportunities, as well as anticipated results of operations. Forward-looking statements represent only the Company's estimates on the date of this conference call, and are not intended to give any assurances as to actual future results. Because forward-looking statements relate to matters that have not yet occurred, these statements are inherently subject to risks and uncertainties, many factors could cause ChromaDex's actual activities or results to differ materially from the activities and results anticipated in forward-looking statements. These risk factors include those contained in ChromaDex's Annual Report on Form 10-K and Form 10-Q, most recently filed with the SEC. Please note, that the Company assumes no obligation to update any forward-looking statements after the date of this conference call to confirm with forward-looking statements, actual results or changes in it's expectations. In addition, certain of the financial information presented in this call references non-GAAP financial measures. The Company's earnings release which was issued this afternoon is available on the Company's website, presents reconciliations to the appropriate GAAP measures, and an explanation of why the company believes such non-GAAP financial measures are useful to investors. Finally, this investor conference call is being recorded via webcast. The webcast will be available at the Investor Relations section of our website at www.chromadex.com. With that, it is now my pleasure to turn over the call to Frank Jaksch.
Frank Jaksch: Thank you, Andrew. Good afternoon, everyone. Thank you for joining our fourth quarter and full year 2017 investor call. 2017 was a transformative year for the Company. We acquired Healthspan Research in March 2017 marking our strategic shift to a consumer focused nutraceutical company under our brand TRU NIAGEN. We began our international expansion of the TRU NIAGEN brand with a successful launch in Hong Kong and Macau with our strategic partner, Watsons in the third quarter of 2017 followed by the first quarter 2018 launch in Singapore. Another important milestone was the sale of the analytical testing service business to LabCorp in the third quarter which helped us focus on NAD and TRU NIAGEN. We raised $48 million of capital with the strategic investment led by Mr. Li Ka-shing in Horizons Ventures. Rob will spend a little more time discussing the transformation in more detail but before I get to that, I'd like to discuss the scientific development on NIAGEN. The science surrounding NIAGEN continues to validate the health benefits of NIAGEN. Healthy ageing, mitochondria, NAD and NR continue to be a hot topic in the research community. In 2017, there were over a 1,000 studies on mitochondria, in 2017 there were over 150 studies on NAD, and in 2017 there were 14 publications on nicotinamide riboside. We now have over 140 collaborative agreements in place with universities and research institutes all over the world, many of which have led to successful peer reviewed publications. We've seen many of these studies which started as preclinical research pivot to human clinical trials and we expect further clinical trials on NIAGEN to come from this process. Presently the most active areas for NIAGEN research involve healthy ageing, areas such as cognition, neurological health and disease, cardiovascular health and metabolic syndrome or obesity. I'd like to highlight a few of the important published studies on NIAGEN during 2017. A study published in Nature in December performed by Dr. Yohan Auwerx and colleagues at EPFO in Switzerland demonstrating that Alzheimer's disease mice treated with NR had improved mitochondria energy production and improved memory. Dr. Mathias and Colleagues at the University of Paris, along with Charles Brenders and his team at the University of Iowa revealed in a mouse study that the administration of NIAGEN stabilizes NAD levels and leads to protective effects on cardiac function in heart failure in a published study in the journal circulation. University of Iowa researchers also published a study in the prestigious Journal of Pain showing that NIAGEN ameliorates chemotherapy to conduce peripheral neuropathy or CIPN in an animal model. Results from that study suggest that NIAGEN may be an effective therapy for relieving CIPN in humans. In February, we announced a study published by the National Institute of Aging at NIH where NIAGEN was shown to prevent neurological damage and improved cognitive and physical function in an Alzheimer's disease mouse study. The first half of 2018 is shaping up nicely as we've seen the addition of two human studies in the first quarter that have been initiated investigating the role of NIAGEN on mitochondrial biogenesis at the University of Cambridge and systolic heart failure at the University of Washington. These two studies bring the human clinical trial count upto 16 with at least 10 of them that examine human efficacy outcomes. We are eagerly anticipating the eminent publication of the University of Colorado Boulder study. The study will be the first focusing on specific therapeutic endpoints whereas previous NIAGEN human studies have demonstrated that NIAGEN is safe and effectively raises NAD levels and ATP levels. We're in the process of publishing the results from our second human study. The 8-week 140 person study established an effective dose range for NIAGEN, showed elevated levels of NAD throughout the study and supported safety for daily use. In January of 2017 we opened our state-of-the-art facility at Longmont, Colorado to support the discovery and development of novel NAD related molecules and we will continue to investigate additional applications for NIAGEN and NAD precursors. With that, I'll pass the call to Rob where he can give you an overview on the transformation we made throughout the year.
Rob Fried: Thank you, Frank. We made the strategic decision last year to transition from an ingredient and testing business to a consumer focused company. We successfully shifted the company's focus to TRU NIAGEN and began building an international consumer brand. One of the most important aspects of the shift was the dramatic reduction in the number of resellers of NIAGEN. A year ago we had more than 20 resellers of NIAGEN. By year end, that was down to 5 and currently we have 2 that are still under contract. There are still several companies selling through their inventory. Along with the shift in strategy, we raised $48 million of capital from strategic investors which include Mr. Li Ka-shing, and Horizons Ventures. This relationship has opened doors to our international expansion plan with the launch of TRU NIAGEN at Watsons and Hong Kong and Macau, and just recently in Singapore in the first quarter. We will likely expand our relationship with Watsons. We're in discussions with Blue chip International Partners to launch TRU NIAGEN in new markets, and we're currently pursuing regulatory approvals. Worldwide awareness of TRU NIAGEN is building. The compound month-to-month growth rate in the U.S. since ChromaDex acquired TRU NIAGEN has been in excess of 25%. Additionally, we are pleased to have made an excellent addition to our Scientific Advisory Board with Dr. Rudolph Tanzi. Dr. Tanzi is the Vice Chair of Neurology and Director of the Genetics and Aging Research Unit at Mass General Hospital; and the Joseph P. Rose Kennedy Professor of Neurology at Harvard Medical School. Expect more additions to this already prestigious Scientific Advisory Board. I'm especially proud of management additions, Kevin Farr, our Chief Financial Officer; and Mark Friedman, our General Counsel and Corporate Secretary. Kevin has joined us Mattel, where he spent the last 17 years as Executive Vice President and CFO. His leadership and experience with the global S&P500 consumer company has already been impactful. Mark joined us from Herbalife Nutrition in January where served as Executive Vice President and General Counsel, and Counsel to the Executive Chairman. Expect more management additions. With that, I will pass the call over to Kevin Farr.
Kevin Farr: Thank you, Rob. As Frank and Rob has noted, we've been executing a strategic shift for the last 12 months and I'd like to update you on that financial aspects of our progress. The Healthspan Research LLC stock acquisition took place on March 12, 2017; this marks the date of our strategic shift to a consumer driven nutraceutical company devoted to pioneering technologies that can improve the way people [ph]. 9 months into the shift, we continue to be doing better than expected. First, as Rob said, we reduced the number of NIAGEN brands in the marketplace. This is a result of a shift of our sales away from resellers and throughout truniagen.com and to retail partner, Watsons. Despite having fewer agreeing customers, our NIAGEN related revenues increased significantly in the fourth quarter and full year 2017 driven by the growth in TRU NIAGEN. Second, we began our international expansion of the TRU NIAGEN brand with the successful launch in Hong Kong and Macau with our partner Watsons in the third quarter of 2017 followed by a first quarter launch in Singapore. Now let's look at our financial results for the fourth quarter of 2017. For the three months ended December 30, 2017 ChromaDex reported net sales of $7.5 million, up 69% compared to $4.5 million from continued operations of the fourth quarter of 2016. The increase in the fourth quarter was driven by the growth in sales of TRU NIAGEN. For the fourth quarter, NIAGEN related revenues was $5.7 million which represented 75% of fourth quarter sales. We also delivered improved gross profits for the fourth quarter of 50.9% which was up by approximately 580 basis points as compared to 45.1% for the fourth quarter of 2016. We delivered better gross margins due to the positive mix of TRU NIAGEN sales. Our operating expenses for fourth quarter were up by $8.4 million to $12.6 million as compared to the fourth quarter of 2016 of $4.2 million as we made incremental investments in sales and marketing expenditures, research and development, and general and administrative expenses to support growth in our business. Sales and marketing expenses increased approximately $2.4 million from $0.4 million last year as the company continue to invest in building in marketing to build out the TRU NIAGEN brand. The Company incurred $1.45 million in research and development expenses for the fourth quarter, an increase of $0.9 million compared to $0.5 million last year. These investments related to human clinical trials and new NR technology development. General and administrative expenses increased by $5.5 million to $8.8 million as compared to $3.3 million in the fourth quarter of 2016. The increase was driven by higher equity compensation expense of $3.1 million, higher legal fees of $1.8 million related to litigations and severance expenses of $0.6 million. The balance related investment and capabilities, people and IT infrastructure offset by lower bad debt expense. The net loss attributable to common stockholders for the fourth quarter was $8.8 million which was up by $6.7 million as we continue to make investments in the quarter to accelerate our future growth. Looking forward, we expect to continue to invest ahead of growth to capture the global opportunity for TRU NIAGEN. Loss per share from continuing operations for the fourth quarter of 2017 was a negative $0.17 per share, compared to a negative $0.06 per share in the prior year. EBITDA adjusted for non-cash charges associated with share based compensation which is a non-GAAP measure was a negative $5.2 million during the fourth quarter of 2017 compared to adjusted EBITDA of negative $1.7 million last year. We also ended the fourth quarter of 2017 with a solid balance sheet with year-end cash of $45.4 million. Turning to full year 2017; for full year 2017 ChromaDex reported net sales of $21.2 million from continuing operations, a decrease of 2% as compared to $21.7 million for the year ended December 31, 2016. This decrease was largely due to the shift in business strategy from an ingredient and testing company to a global consumer focused nutraceutical company. For the second half of 2017, net sales were $13.6 million, an increase of 62% as compared to the $8.4 million in the second half of 2016. Net sales were up by $5.2 million due to TRU NIAGEN. We also delivered improved gross profit for the full year of 49.4% which was up by approximately 140 basis points as compared to 48% for full year 2016. The net loss attributable to common shareholders for the full year 2017 was $11.4 million, which was up by $8.4 million as we invested in marketing expenditures to buildout TRU NIAGEN. In addition, we incurred higher and legal costs associated with the ongoing litigation of $3.8 million, and higher stock-based compensation expense of $3.4 million. Loss per share from continuing operations for the full year 2017 was a negative $0.37 per share compared to a negative $0.10 per share in the prior year. EBITDA adjusted for non-cash charges associated with share-based compensation which is a non-GAAP measure was a negative $5.9 million during the full year 2017 compared to adjusted EBITDA of a negative $0.9 million last year. As we look forward to 2018, the Company expects to continue to deliver significant growth in sales driven by our U.S. e-commerce business and Watson international business and the launch of TRU NIAGEN in new international markets. We expected the growth of full year 2018 will be skewed towards the back half of the year as the U.S. and Watson's businesses are expected to continue to grow and we launched TRU NIAGEN in new international markets. Our NIAGEN sales are expected to come from essentially four segments; ingredient sales to resellers in the U.S., sales at TRU NIAGEN in the U.S., sales at TRU NIAGEN through our retail partner Watsons, and sales at TRU NIAGEN through prospective Blue Chip international partners that we're currently analyzing or in discussion with for new international markets. We expect to see significant growth in these segments in 2018 except for ingredient sales to resellers which we forecast to be down slightly versus 2017 as we continue to whine down our NIAGEN ingredient sales to resellers in 2018. We currently expect these sales to be approximately $6 million to $8 million in 2018 and we estimate that this represents about 5x as much around $30 million to $40 million of retail sales that we're not yet able to capture our share of these sales in the U.S. in 2018. As we continue our focus -- our business on the buildout of TRU NIAGEN, we anticipate that TRU NIAGEN will grow throughout the year. Although net sales are expected to grow year-over-year in the first quarter, the first quarter sales in absolute dollars maybe less in the fourth quarter of 2017 due to lower NIAGEN ingredient sales and the timing of orders from Watsons despite continued strong consumer takeaway for TRU NIAGEN in Hong Kong and Macau. Also, we plan to continue invest to marketing to build out TRU NIAGEN ahead of growth, as well as in infrastructure in new capabilities to support growth. We expect our gross profit percentage will continue to improve in 2018 due to better mix of revenues to TRU NIAGEN sales. We also expect to invest ahead of growth in marketing, global infrastructure as we move into new markets and we continue to build key capabilities. We also continue to believe that there is a tremendous opportunities for significant growth to TRU NIAGEN in 2019 and beyond as more science is published global awareness of TRU NIAGEN increases and we continue to launch in new international markets. Finally, we expect the cash on hand of $45 million at year-end 2017 is more than enough to fund our operations in 2018 and beyond. With that, I'll not open the call for questions operator.
Operator: Our first question comes from Ram Selvaraju with H.C. Wainwright.
Mitchell Kapoor: Hello, this is Mitchell on for Ram. Thank you for taking our questions. So, my first question is are you at an optimal number of distributors here in the US?
Frank Jaksch: Is that a question about NIAGEN in particular?
Mitchell Kapoor: Yes. In particular about NIAGEN yes.
Frank Jaksch: Our plan as you know was to reduce the number of resellers of NIAGEN and to build our own consumer brand through NIAGEN. Right now, we're down to two companies to whom we're still supplying. And they're under contract through a part of this year and we haven't yet decided whether or not to extend those contracts and maybe just strategic to continue working with them they're very good companies. But we certainly won't be increasing.
Mitchell Kapoor: Okay. Got it. And the other question is how is stock-based compensation likely to trend in the coming quarters?
Kevin Farr: I think with regard to the coming quarters that it should not be a big driver, but I think the one thing that I'd caveat that what is, we add new capabilities. You may see some inducement grants to attract those new capabilities as new people.
Mitchell Kapoor: Okay. Great. Thank you, guys.
Operator: Our next question comes from Jeffrey Cohen with Ladenburg Thalmann.
Jeffrey Cohen: Hi Frank, Rob, Kevin and Andrew. How are you?
Frank Jaksch: Great. Thank you.
Jeffrey Cohen: Okay. So, few question I want to run through. Firstly, Rob you had a little bit of commentary as far as where you're sitting on the US growth 25% plus was that a compounded growth rate, were you describing an annualized growth rate is that right?
Rob Fried: It's actually compounded monthly growth rate, but remember it's the law of small numbers we started as a small number. It doesn't take too long, at that growth rate to become a fairly significant number.
Jeffrey Cohen: Got it. Okay. Can you give us a little further clarity as far as the footprint out there currently for Watsons as far as Hong Kong, Macau and Singapore you know that some of the orders come in and are lumpy level, but can you give us kind of a flavor for a number of stories that are about the products in or growth of the number stores at the products are you currently?
Rob Fried: Yes, in Hong Kong there are in all of their stores. It's 160 stores and in Singapore it's 100 stores and they are in all 100 stores.
Jeffrey Cohen: Fantastic. Okay and then. Can you talk a little bit about margins you had a little bit of commentary so NIAGEN now driving 75% of revenues with 54% gross margins? Do you expect some further expansion there as far as margins through 2018 or is that largely dependent upon volumes?
Rob Fried: No, I think we do expect as we sell more TRU NIAGEN, we do expect as I said in my comments for gross margins to continue to improve for 2018. And I think both with regard to selling direct to consumer as well as our business Watsons both have good markets and margins better than the selling ingredients.
Jeffrey Cohen: Okay. Got it. And Kevin can you give us any further clarity, not that I am necessarily looking for guidance, but as far as OpEx for 2018 how maybe thinking about that it's 2017 at $26.8 million strip out it looks like $7 million or $8 million in one time. How much outlook for 2018 or you expect it to grow kind of commence through with the top-line growth rate on the OpEx line?
Kevin Farr: Yes, I think it's going to grow less than the rate of the top-line. The one thing that we are going to do is we're going to invest in marketing expenditures to drive the growth of TRU NIAGEN and I think the good news about this company is since we're doing a lot of that through TRU NIAGEN.com that we are moderating every day and we can make decisions on a real-time basis should we be investing more or less depending upon how it's driving revenues. But when I look out to the full year this year I think we do have a larger base that you see in the second half of the year. So, I think again, we are going to invest in infrastructure and we're going to invest in growth for international operations but again, I think that we're looking at optimizing that.
Jeffrey Cohen: Okay. Got it and then lastly Frank, could you walk us through a little bit kind of big picture as far as the couple of studies that are ongoing now maybe give us a little flavor for the types of studies that you have some discussions about with some of the universities and some of the researchers out there as far as specific therapeutic areas of focus and where we may see more studies in 2018 or hear about them?
Frank Jaksch: Yes. So, are you specifically referring to some of the newer ones that sort of started popping up on clinical trials.gov?
Jeffrey Cohen: Yes. As well as perhaps some of the interest you've seen and some of the other that have focus out there?
Frank Jaksch: Okay. Well, the one area right now which I'll highlight the most which is then the biggest area in the peer review published side of things recently was around called neuroprotection or cognitive or mild cognitive impairment that could be related to neuro degenerative type diseases. So, the latest studies and there's been as you've probably been following through our press releases there's been quite a few just even over the past few months that specifically relate to neuro protection or gender [ph] diseases and using an art to modulate NAD [ph] and there has been some pretty tremendous studies on that. We're also seeing that now that interest translating into human trials and that's one of the hotter areas I would say at least from a clinical perspective, the interest in the mild cognitive impairment stopping short of really focusing and diseases in the clinic it looks like they're are focusing on what I'll call structure function claims orientation. Human clinical trials around mild cognitive impairment that would be useful for us in making structure function claims related to TRU NIAGEN as a dietary supplement.
Jeffrey Cohen: Okay and would you expect to hear of submission and trials coming out of the university researchers or be sponsored by them or the company?
Frank Jaksch: Right now, the ones that are the most active are actually university sponsored trials. However, we're currently evaluating what I can't talk about it in specific detail but we're currently evaluating what our next steps with and we haven't gone public yet with what the next steps were going to be looking out for our own sponsored trials.
Jeffrey Cohen: Okay, but I imagine this number that you're also interested in beyond what some others are doing out there are yes.
Frank Jaksch: There are yes, they might want to call the mild cognitive impairment as one of those that is of interest to us very much. But there are other areas of interest and as you know most of our focus in the clinic over the past couple of years has been around more pharmacokinetic pharmacodynamic areas related to using nicotinamide right beside or TRU NIAGEN to increase NAD levels which we've pretty clearly demonstrated at this point.
Jeffrey Cohen: Perfect, okay looks like a nice read out and best of luck for 2018. Thanks a lot.
Operator: Our next question comes from Bill Dezellem with Tieton Capital Management.
Bill Dezellem: I have a group of questions. First of all, what markets outside of the US are you planning on launching during 2018 and what is it that is leading you to choose those markets?
Kevin Farr: Well, we aren't yet disclosing those specific plans we're in discussions with a number of I would say blue chip partners, excellent partners in some of the largest territories. But it's in early stages, so we're not yet disclosing which territories we're going in and we may not be in if the deal doesn't come together the way we hope. Again though, I think we're targeting markets that have the greatest potential and that's the focus as well as we're -- as Rob said with blue chip, and partners to launch in those countries.
Bill Dezellem: And in the commentary, there was a reference to blue chip relationships outside of the U.S. So was that more at the retail level to launch into new countries or was that more in the category of identifying partners to bring out new products that might use NIAGEN?
Frank Jaksch: No, at this point we're thinking about strategic partners to distribute or release TRU NIAGEN in other territories.
Bill Dezellem: That's helpful. And I think you also mentioned in the same vein on the -- in the opening remarks that a likely expansion of the Watson relationship. What can you tell us about that?
Frank Jaksch: The original relationship contemplated just four territories but Watsons footprint expense far beyond that and so we've -- with their performances excellent thus far and they've expressed strong interest in expanding in some of their other territories but at this point it's just preliminary discussions.
Bill Dezellem: And those four territories would have been Singapore, Macau, Hong Kong and?
Frank Jaksch: Taiwan.
Bill Dezellem: And then, lastly, as you all look at the various studies that are out there, I think 140-ish or so, what ones are you most enthusiastic about, Frank?
Frank Jaksch: Well, are you referring to -- well, the 140 -- we have a 140 collaborative agreements in place with various universities, are you talking about the collaborations or the publications that may have resulted from those?
Bill Dezellem: No, I'm actually thinking about things that have not yet been published or the research maybe is not yet complete but you're looking at it and concluding it, that's really very, very exciting. I'm just trying to understand where your enthusiasm is being placed today?
Frank Jaksch: Well, I think that it goes to previous question, I think the one at the top categories for I'll say from an enthusiasm standpoint that I think and would echo the sentiments in some ways of our Scientific Advisory Board is the area of cognition is going to be one of those areas. And it is one of the areas that is the most active I would say in transitioning at the moment from preclinical -- successful preclinical studies which have led to some pretty outstanding peer review published studies that have come out recently. And now also translating into what I'll call very -- getting those grand funded research to basically carry it into a human clinical trial. So that's one of the key, I would say that's going to be one of the key areas right now. It's going to be around that area because especially as it relates to cognitive, mild cognitive impairment or anything along those lines, I mean that's one of the more notable hallmarks of aging, and one that I think we believe that nicotinamide riboside will deliver upon on that promise as well.
Bill Dezellem: And when I take that just one step further, when you are referencing this, are you talking about kind of the -- many of us will jokingly call a senior moment or are you taking about something as problematic as Alzheimer's or Dementia?
Frank Jaksch: Ultimately, you know, I think it retches to that and we're going to have to find ways of coming up with strategies to address getting towards that type of a market and being able to make -- attach it towards that type of a claim without necessarily going too far and without us having to go through a drug development process because we don't want to go through a drug development process and we're not a drug company, we're a dietary supplement or nutraceutical company and we're going to -- that's our path forward, that's pretty consistent from what you've been hearing from the call today, that's where we're going with this. So we have to stick with things that we can structure function claims and claims and that we can make that will facilitate the sale of the supplement product.
Operator: Our next question comes from [indiscernible].
Unidentified Analyst: Good afternoon. Who would you identify as your key competitor?
Frank Jaksch: The company that is selling we believe the most nicotinamide riboside right now at a consumer level is Elysium Health. There are numerous competitors in the nutraceutical space and in the anti-aging space and of course, we have our other ingredient businesses and our services businesses but at our core business, which is the consumer sale of the ingredient that we developed, patented, tested and registered as safe with the FDA is nicotinamide riboside and they are also selling a version of that in the marketplace.
Unidentified Analyst: So moving onto Watsons here. Are you to drive demand, you said 160 stores in Hong Kong, 100 in Singapore, how do you drive demand or how are you driving demand or at least knowledge of the product?
Frank Jaksch: In Hong Kong?
Unidentified Analyst: In both, Hong Kong and Singapore.
Frank Jaksch: Actually Watsons has been spearheading the marketing efforts and they've done an extraordinary job in their marketing campaigns which they do very -- in close conjunction with us, has been extremely effective. But our goal is to create an international brand out of TRU NIAGEN, so we create the brand guidelines, the messaging, we disseminate the scientific information, we create the videos and other marketing materials and we've been sharing those materials and that thinking and that research with Watsons as we will do with all the other international partners that we work with. So it's sort of a hub and spoke type of marketing strategy where the brand is managed, the messaging is managed, here in the U.S. and we share those materials with the international partners, including Watsons.
Unidentified Analyst: And how many stores does Watson possibly have that might end up having TRU NIAGEN?
Frank Jaksch: They have almost 7,000 stores worldwide.
Operator: Ladies and gentlemen, this conclude today's Q&A portion. I'd like to turn the call back over to our host.
Frank Jaksch: Thank you everybody for joining us today.